Operator: Good morning. My name is Joanne and I will be your conference operator today. At this time, I would like to welcome everyone to the Keyera Corp’s Second Quarter Results Conference Call. (Operator Instructions) I would now like to hand the call over to Mr. John Cobb. Sir, you may begin your conference.
John Cobb: Thank you, Joanne and good morning. It’s my pleasure to welcome you to Keyera’s 2013 second quarter results conference call. With me are Jim Bertram, Chief Executive Officer; David Smith, President and Chief Operating Officer; and Steven Kroeker, Vice President and Chief Financial Officer. In a moment, Jim and David will discuss the business and Steven will provide additional information on our financial results. At the conclusion of the formal remarks, we’ll open the call for questions. Before we begin, however, I would like to remind listeners that some of the comments and answers that we will be providing today speak to future events. These forward-looking statements are given as of today’s date and reflects events or outcomes that management currently expects to occur based on their belief about the relevant material factors as well as our understanding of the business and the environment in which we operate. Because forward-looking statements address future events and conditions, they necessarily involve risks and uncertainties that could cause actual results to differ materially. Some of these risks and uncertainties include fluctuations in the supply, demand and pricing of natural gas, NGLs, isooctane and crude oil, the activities of producers and other industry players, our operating and other costs, the availability and cost of materials, equipment, labor and other services for capital projects, governmental and regulatory actions, and other risks as are more fully set out in our publicly filed disclosure documents available on SEDAR and on our website. We encourage you to review the MD&A which can be found in our 2013 second quarter report and our annual information form, both of which are available on our website and on SEDAR. With that, I’ll turn it over to Jim Bertram, Chief Executive Officer. Go ahead, Jim.
Jim Bertram: Thanks, John, and good morning, everyone. Thank you for joining us this morning. We are very pleased with Keyera’s performance in the second quarter which was certainly a busy one. In addition to the strong financial results, we’re encouraged by level of producer activity around our gas plants, the number of new growth capital projects we have underway and more importantly the number of projects currently under evaluation. In the second quarter of 2013, Keyera delivered EBITDA of $99 million, 20% higher in the same period last year. This includes unrealized gains and losses. Distributable cash flow was $79 million or $1.01 per share with dividends to shareholders of $42 million or $0.54 per share representing a payout ratio of 53%. These results showcase another solid quarter from all segments of our business. Steven, will provide further details on our financial results later in the call. With the growth in our business in 2013 and the numerous new business initiatives that are currently underway, yesterday we announce an 11% increase in our dividend effective with our August dividend payable to shareholders on September 16, 2013. The new amount of $0.20 per share per month or $2.40 per share annually represents our 11th dividend increase since going public 2003. This increase is consistent with our goal of providing our shareholders with stable and growing cash flow per share and represents an 8.1% compound annual growth rate in dividends per share since going public in 2003. The second quarter was a busy one in our Gathering and Processing business. Gross throughput in the second quarter was 1.3 billion cubic feet per day, an increase of 5% compared with the same period last year. Throughput was higher at Rimbey, Strachan, Brazeau River, Caribou, and Minnehik Buck Lake gas plants were producers continue to have active drilling plants underway. Some of this new gas is being delivered to Keyera facilities on several new gas gathering pipelines that were built over the last year. At Simonette, the work we completed in the first half of the year has enabled us to better handle raw gas being delivered to the plant. Curtailment of production at Simonette ended on May 9th and throughput has increased since then with throughput in the second quarter of 2013 has doubled somewhere to those in the same period last year. The changes we made to the sulfa plant allowed us to meet our sulfa recoveries in the second quarter. We are now better able to handle the large volumes of liquids that we are receiving. Producer activity particularly in the west central and deep basin areas of Alberta continues to be strong as producers remain focused on liquids-rich resource type drilling. This activity continues to create opportunities to expand our service offerings through construction of new pipelines and plant facilities. At Simonette gas plant, design work is well underway on our new 90 kilometer 12-inch sour gas gathering pipeline into the Wapiti area where producers are particularly active. A number of producers are interested in the pipeline and we are optimistic about drilling our remaining capacity. As a result of the producer demand, we will also be constructing a dedicated condensate pipeline along the same route at the same time as the sour gas pipeline is constructed. This is a low cost way to provide transportation solutions for the growing condensate production in the area. We expect the total cost for both pipelines will be approximately $155 million including the plant inlet facilities necessary to accept the new gas at the plant. We continue to anticipate that the pipelines will be operational in the second quarter of 2014. We also planned to invest $90 million to enhance the plant’s processing capability through the addition of condensate stabilization as well as additional refrigeration which will add 100 million cubic feet per day of raw gas processing capacity. We are expecting to complete the plant modifications in the second half of 2014. We are ready to proceed with two sulfur projects at our Strachan gas plant. We recently committed to a new sulfur project at Strachan, Keyera’s sulfur handling hub. Strachan is currently a receipt point for sulfur from Keyera sour plants in West Central Alberta as well as other producer-owned facilities. We have entered into a long-term agreement with Suncor Energy to provide sulfur handling and processing services. In conjunction with that agreement, we will be modifying the facilities at Strachan adding a new forming unit and enhancing the sulfur rail receipt and storage facilities at the site. In a separate initiative in conjunction with Sulvaris, Inc., we’re advancing the construction of jointly-owned sulfur handling fertilizer production facility at the plant. We anticipate investing about $65 million on these projects. Both projects are targeted to come on stream in the first half of 2015 assuming receipt of regulatory approvals and long-lead items in a timely manner. These initiatives are great examples of enhancing our service offering by leveraging existing facilities in order to generate additional cash flow. Work is well underway on the 400 million cubic feet per day turbo expander at the Rimby gas plant with on-site construction scheduled to begin in the fourth quarter assuming we receive regulatory approvals on time. Rimby continues to see increased gas forms from the Carlos pipeline. As the Carlos system approaches maximum capacity, we are working on our plant to utilize other Keyera pipelines in the area to handle the growing volumes. In June, we successfully completed schedule maintenance turnarounds at the Paddle River and Pemberton North gas plants. The last remaining turnaround for this year is scheduled for September at the Simonette gas plant. With that, I’d like to turn it over to David to review our liquids business unit. David?
David Smith: Thanks Jim. The Liquids Business Unit also posted strong results in the second quarter, with contributions from both the NGL Infrastructure and Marketing segments. The focus on liquids-rich drilling in Western Canada has resulted in a busy quarter for our NGL Infrastructure segment. Demand for fractionation and storage services at Fort Saskatchewan remains strong and with the new contract year beginning on April 1st, fractionation and storage fees and revenues have increased. At the Alberta Diluent Terminal, operating margin increased in the second quarter as a result of an increase in off-load volumes and handling fees. We recently received a final regulatory approval needed for our 12 storage caverns at Fort Saskatchewan and we’re in the process of putting it into service. We continue to wash the 13th cavern and are evaluating the timing of future cavern development on the site. Construction of the new brine pond to support our cavern development continued in the second quarter and despite some wet weather in July, we still anticipate putting the ponds into service later this year. Construction of the South Cheecham rail and truck terminal is in the final stages with an anticipated startup late in the third quarter. Most of the equipment in rail facilities have been completed with road access and final electrical and instrumentation works still to come. We continue to see considerable customer interest in the site and have signed a four year agreement with JACOS, another bitumen producer in the area to provide crude oil loading services. Given the interest in additional capacity, we are currently evaluating an expansion at the South Cheecham terminal to accommodate higher volumes of crude oil loading at the site. We were pleased last week to announce our partnership with Kinder Morgan to construct the Alberta crude terminal a crude oil loading facility located in the Evanton area, Alberta’s crude oil hub. We believe that this partnership combines the strengths of two strong organizations and some very strategic infrastructure in the Evanton area. The Alberta crude terminal will be able to load 40,000 barrels per day of crude oil for delivery to customers across North America once the first phase is completed. It will be constructed on land here, recently acquired next to our Alberta Diluent Terminal and we will have access to the crude oil streams handles a Kinder Morgan Diluent Terminal. With access to both Canadian National and Canadian Pacific mainlines the terminal will provide tremendous flexibility allowing customers to secure many different crude blends and the ability to direct the product by rail anywhere in North America. The initial project is underpinned by a five-year agreement with large refiner. However, as with South Cheecham, there is already significant demand for additional capacity and we are currently in discussions with customers to expand the terminal by as much as 125,000 barrels per day of loading capacity. Keyera expects to invest approximately $65 million in the first phase of the project and we anticipate having the terminal operational in the second quarter of 2014 assuming receipt of regulatory approval and delivery of long-lead items on a timely basis. Work on the new 30,000 barrels per day deethanizer at Fort Saskatchewan is continuing, and long-lead items have been ordered. Some civil work is underway at the facility now to prepare for construction later this year. For our proposed Western Reach Pipeline System solicitation of non-binding expressions of interest closed in May and we were pleased with the interest shown by producers. Since then work has been focused on further defining on project scope pipeline routing and commercial terms. We are working with perspective customers to sign binding volume commitments to support the project. In addition to supporting additional transportation capacity for NGLs out of the deep basin area of Alberta, producers are also interested in ensuring that there will be sufficient fractionation capacity in Fort Saskatchewan to process future NGL production. With our existing NGL fractionators at Fort Saskatchewan currently operating at capacity, we are evaluating an expansion to meet the anticipated future demand for service in Western Canada. We have completed preliminary engineering, developed commercial terms and are currently in discussions with customers to determine their interest in securing capacity. Utilization levels at Alberta EnviroFuels increased in the second quarter as our ability to deliver to new markets by rail led to higher sales in the quarter relative to the first quarter of this year. Unfortunately an unexpected upset at the facility required us to take the facility offline in mid-June for repairs. The repair costs associated with the outage affected the financial results in the NGL infrastructure segment in the second quarter. The facility resumed production of isooctane end of July. In the marketing segment, higher isooctane sales and margins contributed to strong results in the quarter. The outage at Alberta EnviroFuels did not materially affect the June isooctane sales and strong gasoline prices during the quarter and an effective hedging strategy were large contributors to the strong isooctane margins. Butane was a significant contributor to Keyera’s results in the second quarter due to our balanced sales strategy and effective risk management programs because butane is the feedstock used in the production of isooctane, we have been taking advantage of opportunities to purchase and store greater amounts of butane to manage the supply requirements for Alberta EnviroFuels. In the second quarter softening butane pricing in North America benefited our isooctane business and presented opportunities for us to use our rail infrastructure to acquire some additional butane inventory at attractive prices. Propane markets in North America were difficult for second quarter when warmer weather results in lower demand because of the extended winter weather industry propane inventories entering the second quarter were back to more typical levels compared to the second quarter of last year. Keyera has begun building propane inventory levels to meet winter sales commitments in order to protect the value of this inventory, we have entered into propane physical and financial forward sales contracts. Condensate demand and pricing weakened somewhat in the second quarter largely as a result of an oversupply of diluent in Alberta caused by lower than expected bitumen production. Keyera continue to deliver railcars into the Alberta Diluent Terminal during the second quarter under terms negotiated prior to the softening demand. With that, I’ll turn it over to Steven to discuss the financial results in more detail.
Steven Kroeker: Thank you, David. As Jim and David mentioned, we are quite pleased with our financial result for the second quarter. EBITDA was $99.4 million, 20% higher than the $82.7 million reported in the second quarter of last year. And just a reminder, effective with the first quarter we started reporting EBITDA as excluding unrealized gains and losses. This increase is primarily due to the performance of our marketing segment Net earnings were $48.2 million or $0.62 per share compared to $25.8 million or $0.34 per share in the second quarter of 2012. Higher operating margins from our business segments this quarter particularly in marketing compared to same period last year was the reason for this increase in earnings. The strong performance this quarter resulted in distributable cash flow of $79.3 million or a $1.01 per share, compared to $59.5 million or $0.78 per share in the second quarter of 2012. Dividends to shareholders were $42.2 million or $0.54 per share. This resulted in a payout ratio of 53%. Our Gathering and Processing business posted strong operational results in the second quarter delivering operating margin of $38.9 million, $2.3 million lower than the same period last year. Included in these results were $3.3 million of non-recurring expenses related to prior period adjustments and remediation work. In addition, throughput was lower at the Simonette gas plant until May 9 due to throughput curtailment at the facility. As Jim earlier the curtailment is now lifted and throughput at the Simonette plant is back to a level similar to the second quarter of last year. In the Liquids Business Unit, NGL Infrastructure segment delivered a second quarter operating margin of $29.1 million compared to $27.8 million in the same period last year. The marketing business generated $46.8 million of operating margin in the second quarter significantly higher than the $11.8 million recorded in the second quarter last year. Higher operating margin from isooctane sales is a large factor in the strong results this year as David previously mentioned. Augmenting the strong operational results was a $6.5 million positive adjustment related to the avoidance of an NGL mix storage cavern in the quarter. Included in marketing operating margins for the second quarter of 2013 was a non-cash unrealized gain on risk management contracts of $5.4 million compared to a non-cash unrealized loss of $11.9 million in the same period last year. Keyera’s general and administrative expenses were $5.4 million in the second quarter of this year compared to $6.4 million in the second quarter of 2012. This decrease is primarily due to higher overhead recoveries this year. Long-term incentive plan costs were $6.9 million in the second quarter compared to $5.2 million in the second quarter of last year. The higher expense is primarily due to the strong performance of Keyera’s business this quarter and its continued strength in the share price. Finance costs were $12.9 million in the first quarter, almost $2 million higher than the second quarter of last year due to higher long-term debts outstanding. Keyera incurred about $500,000 of cash taxes in the second quarter, about the same as in the second quarter of 2012. These taxes primarily related to one of Keyera’s subsidiaries and Keyera continues to believe that current income taxes for 2013 will be in the range of 1% to 3% of annual operating cash flow before taxes. Given the expected growth in cash flow going forward, Keyera anticipates a cash taxes will arise in 2014. These forecasts are based on Keyera’s estimates to future cash flow, and the timing of future growth projects and are subject to change. The value of NGL inventory at the end of the first quarter was $218 million, $35 million higher than at year end and $49 million higher than at the end of the second quarter last year. This increase is largely the result of maintaining higher levels of butane inventory in 2013 to support the isooctane business. At the end of the second quarter Keyera had a $170 million drawn on a $750 million bank credit facility compared to $135 million drawn at year end 2012. Keyera’s ratio of debt to EBITDA a primary covenant for Keyera’s long-term debt was 1.85 at the end of the second quarter. This metric reflects the fact we are permitted to deduct working capital surplus in calculating debt. Keyera’s strong balance sheet and growing cash flow gives us financial flexibility in funding the organic growth opportunities we have underway. Finally, we’ve included our second quarter supplementary information on our website concurrent with the release of our 2013 second quarter financial results. This information includes both operating and financial data for each segment of our business. You can refer to our 2013 second quarter report for details and how to access the supplementary data. Jim, that concludes my remarks.
Jim Bertram: Thank you, Steven. I’d like to conclude with a few comments about the opportunities I see ahead for Keyera. I continue to be encouraged by the number and variety of new business opportunities we currently have under development at Keyera. For the most part, these projects are driven by our customers who recognized the strategic nature of our asset base into value that it can provide them. The depth of our new opportunities means that we have projects in every stage of maturity ranging from projects starting up this year to those in various stages of evaluation. We’re experiencing new cash flows today from investments made over the last several years. This is helping to fund projects currently underway. The new business opportunities have the potential to contribute to Keyera’s growth into the future. We were very pleased to announce our new Alberta Crude Terminal, they have the opportunity to partner with Kinder Morgan one of North America’s premier pipeline transportation and energy storage companies. Not only is this an exciting project that will benefit our customers and the industry but it opens the door for more joint projects where we can leverage the expertise and asset infrastructure of both companies. All the projects currently under development total over $800 million of capital investment and we continue to estimate that $400 million to $450 million of that will be spent in 2013. Well we are very proud of our achievements and strong financial performance, I continue to believe and stress that most important part of our business is the health and safety of our people and the people who live and work around us. At Keyera, we understand that is our responsibility to operate our business in a way that provides a safe, healthy and an environmentally friendly workplace and we have worked very hard to make this our key tenant of our corporate culture. As we look for the future, and to growing our business we will continue to remain focused on this fundamental principle. John? John, that concludes my comments. And you can open up the lines for questions.
John Cobb: Thanks, Jim. Please go ahead, Joanne.
Operator: (Operator Instructions). Your first question comes from the line of Rob Hope from TD Securities. Your line is now open.
Rob Hope – TD Securities: Good morning. Congratulations on a great quarter.
John Cobb: Thank you.
Rob Hope – TD Securities: I was hoping, maybe you could just speak to the AEF outage in a bit more detail. What was the main cause there? I guess why wasn’t it picked up in your most recent turnaround, and moving forward, do you think the problems have been figured out?
Steven Kroeker: It’s Steven Kroeker. Rob, thanks for the question. As you know AEF is a large complex facility not unlike a refinery and the situation that arose was a pressure build-up in one of the operating units. And it was determined by the team there that it made sense to take plant down to investigate what was behind the pressure buildup rather than take any risk with the producer or with the operation. And subsequent to taking the facility down, there were a number of issues identified all of which we think contributed to the challenge and it looks at this point as though we’ve addressed the issue.
Rob Hope – TD Securities: Okay, great. So there was a limited impact in Q2. What about in Q3 volumes? Have you been able to I guess increase production to meet the majority of your volumes so far or will there be a volume impact there?
Steven Kroeker: It is a little early to tell ultimately what the effect will be. As you know we were down for two weeks in Q2 and we were down for two weeks in Q3 and the total cost associated with the repair was about $1 million in Q2 and about $1 million in Q3 in round numbers. From a revenue point of view we were able to utilize existing inventory and we will be able to do some amount of catching up in July but at this point it’s still not clear I expect there is still be some modest impact on revenue at the end of the day.
Rob Hope – TD Securities: All right. That’s great. Thank you.
Operator: Your next question comes from the line of Carl Kirst from BMO Capital. Your line is now open.
Carl Kirst – BMO Capital: Thanks. Good morning, everybody. Also congrats on the nice results. Dave actually if I could just follow-up on that last comment. And I just wanted to make sure I better understood it, and granted it was only for two weeks of the year. So when the facility was off, you were selling isooctane out of inventory but then didn’t have the butane feed costs against it. Did that materially help your margin at all in the quarter or was it pretty much more of a blip?
David Smith: No, I don’t think that has any effect any material effect on the margin as a result of the outage. We did accumulate as you can appreciate a little bit more butane inventory during the four week period that the plan was down. But that will be worked through over the course of the next few weeks.
Carl Kirst – BMO Capital: Okay. I appreciate that. The second question, if I could just get a better sense of the return profile, perhaps you’re looking for with Kinder, the $65 million in investment and this is just also a clarification. The 120,000 barrel a day future, was that potentially expanding to 120,000 or was that an incremental 120,000?
David Smith: I’ll deal with the second question first because it’s easier. It is an incremental 125, 000 barrels a day of capacity over and above the 40,000 barrels a day that we expect to have once the, once the phase one is complete. Now what that represents is the capacity of the what we expect the capacity of the site will be obviously there is other factors in terms of been able to access the rail and having appropriate pipeline connections in order to be able to see that volume in and out of the site. But that’s what we think the site can handle. On your first question we are not disclosing any commercial terms here. We what I will say is that as with many of the projects that we embark on we benefit from the fact that we have existing infrastructure that we can capitalize on both Keyera and Kinder Morgan have existing infrastructure in the area in terms of pumps and pipeline connections and pipeline manifolds to be able to provide really tremendous flexibility coupled with the stories that we have and the access that we have to both railways. So suffice to say we are pretty happy with our ability to have a very attractive project here.
Carl Kirst – BMO Capital: Excellent. And the last question is just kind of another associated follow-on on that. And again, not to put the cart in front of the horse but with respect to this incremental 120,000, 125,000, to get to capacity, would that require a capital investment on Keyera’s part, something proportional of the $65 million to $40 million or is it, is the $65 million quite frankly lay a lot of the ground work for that?
David Smith: Well it wouldn’t be proportional you are really talking about additional track, additional loading spots and probably some additional storage on the site but some of the investment in the pipeline connections and the connections in the Kinder Morgan’s terminal would be sufficient. So it would be commensurately or proportionately somewhat less.
Carl Kirst – BMO Capital: Great. Thanks, guys.
David Smith: The other thing I guess is included in the $65 million is the cost of the land and we believe we have sufficient land to handle that kind of capacity.
Carl Kirst – BMO Capital: Great. Thanks for the color.
Operator: Your next question comes from the line of David Noseworthy from CIBC. Your line is now open.
David Noseworthy – CIBC: Good morning guys and congratulations on a great quarter. Just a quick question on the Western Reach Pipeline. You mentioned you’re now at the next stage. Do you have any kind of idea of the timing for a decision to proceed?
David Smith: David it’s a little difficult to be specific on that right now. Our discussions are ongoing we are looking to get some underpinning for the engineering. As you can appreciate it’s a big project so the engineering self will take some time. We hope to be in a position sometime in the next couple of months to be able to provide more sort of by the end of this quarter to be able to provide a little bit more direction but we don’t we really don’t know for sure when we’ll get to that point.
David Noseworthy – CIBC: And in terms of the new condensate pipeline that you’re contemplating at Simonette. Just so I understand, is the idea here that you’re collecting condensate out of the field, bringing it to Simonette and do you add any process to it at Simonette?
Jim Bertram: David this is Jim. Yeah a lot of the Montney being drilled out in those areas creates a lot of free standing condensate that comes out at the wellhead. So the producer options are that track that away from an individual wellheads which in that part of the world is pretty tough because of lack of roads and just the logistics. So by putting this condensate pipeline and we get to aggregate the condensate at our Simonette gas plant. At the plant we’ll have condensate stabilization which is required to manage the condensate coming down. So yes, those assets that have to be installed at the plant as well.
David Noseworthy – CIBC: Okay. And then you mentioned in your up-front discussion just a lot of development projects and I guess one that we’ve been following closely has been a deep cut at Simonette. I was just wondering what producer sentiment is towards that right now?
Jim Bertram: Well I think everything that we hear in our many discussions with producers there continues to lead us down that path certainly the geological success being demonstrated in those areas are continuing both in the Montney and especially the Duvernay to the east. So I think what, longer term we are going to have to have a deep cut solution there I think certainly producers all wanted to agree. I think we just have a lot of big players, new players that are coming to the area in the last six months or last year and they are still sort of sorting out their longer term plan. So it’s sometimes things will move as quickly if you like but I think in our case we’ve got a number of projects probably closed to $250 million for the projects on going around Simonette rate now getting ready to the day that we can go forward to the deep cut. So certainly it will happen is my belief over the next year or more depending on their timing but it’s certainly required and everything points that it’s going to happen.
David Noseworthy – CIBC: I appreciate that color. And then and perhaps just moving to the AEF facility, obviously you benefited from very high isooctane margins in the quarter. It looks like spot continues to be strong. I was wondering how your hedges are comparing to spot and maybe on a relative basis to how your hedges in Q2 were to spot?
David Smith: We have been you sort of gradually layering in our above forward sales. I would suggest that they are not materially different from where we’re at on the current spot. We’re beginning to go out into the first part of 2014 with that hedge program.
David Noseworthy – CIBC: Excellent. Okay so continued strong margins there. And then just one last question on your NGL or your marketing segment results, to what extent did wide NGL differentials between the various North American basins contribute to what we saw?
David Smith: I’m not sure I understand the question.
David Noseworthy – CIBC: Oh all right. Well if we looked at Conway Edmonton propane, butane, and condensate differentials, they were incredibly wide relative to historical. I was just wondering how Keyera here and.
David Smith: No, I would suggest that’s been a very small part of the differential impact what that’s, what those wide differentials of matters that we’ve had limited opportunity to import butane and condensate over the last quarter. So the in terms of our Western Canada supply I would say there is essentially zero impact from those wide differentials because of the effectiveness of our hedging. We are not really exposing to that differential at all.
David Noseworthy – CIBC: Okay. And right and I guess, as you said, there’s not an opportunity to take advantage of it right now?
David Smith: Well there may or may not be an opportunity to take advantage of it but that’s but we are not in the business of taking speculative risk on those kinds of things.
David Noseworthy – CIBC: I appreciate it. Thank you.
Operator: Your next question comes from the line of Matthew Akman from Scotiabank. Your line is now open.
Matthew Akman – Scotiabank: Thanks very much. I wanted to revisit the Alberta Diluent Terminal expansion, potential expansion by 125,000 barrels a day. And I recall there being a lot of land there. And I think, David, you said you’ve got the land or you have the land tied up. I’m just wondering where you are on that stage whether you have I guess permits to turn the land over. I think it used to be kind of warehouse stuff and industrial into a bigger terminal. And if that could be a challenge or not, and the pipeline capacity coming into it whether you can handle that kind of volume now.
David Smith: Yeah just to clarify the existing operation that’s there the Alberta Diluent Terminal operation has a small amount of expansion capacity on the land that we’ve owned for the last five years or so but the Alberta Crude Terminal which is right next door is on line that we’ve just recently acquired just in the last few months. And if you were to go to that site today you would see some ongoing demolition and reclamation of that land moving some of the building another infrastructure that you mentioned off the site. So that we can build the track and the rail that we, the track and the rail loading that we need. We still need regulatory approval before we can move forward with that construction and to answer your last question yes we do need additional pipeline connections in order to be able to be able to for utilize the site for both condensate offloading on the Alberta Diluent Terminal site as well as crude loading on the Alberta Crude Terminal site.
Matthew Akman – Scotiabank: Okay. Separately but related, you guys have always had some oil marketing profit, a lot of that is with partner and not as directly related to I guess Keyera’s infrastructure. But with all of this rail loading facility and oil is there do you see an emerging opportunity for significantly more oil marketing as opposed to or in addition to your core NGL marketing?
David Smith: Some of the oil midstream activities that we’ve had as part of our marketing segment for sometime that we anticipate continuing some of that, some of the additional infrastructure that we are building around additional pipeline connections and additional rail facilities may allow us to expand that, that’s not something that we built in to the economic analysis to this point but we certainly do fully expected it will be those kinds of opportunities as we look forward.
Matthew Akman – Scotiabank: Good. Okay, thanks, guys. Those were my questions.
Operator: Your next question comes from the line of Robert Kwan from RBC Capital Markets. Your line is now open.
Robert Kwan – RBC Capital Markets: Thank you. Good morning. Just on starting in the NGL fractionator expansion potential. I know it’s still pretty early. Just wondering if you can give any potential timelines as to when we might hear a little bit more about that. In addition, are there any kind of major issues being raised by producers?
David Smith: I don’t think there is any major issues being raised I think the over the course of the last 12 to 18 months most producers have it’s been demonstrated why we need more fractionation capacity generally within the industry and I think our site is extremely well situated for a variety of reasons as you know we are proceeding with the deethanizer expansion which will result in more volume for the fractionator and so that in addition with the additional volumes of C3 plus that we expect will be developed in particularly in the deep basin area. We see the need for the capacity at this stage we’re working on parallel tracks to full deployed the engineering as well as to get the producers committed to the capacity that we think we need in order to justify moving forward economically. In terms of the timing I think we are probably we’re certainly looking at a decision before the end of this year hopefully by the sort of November time frame.
Robert Kwan – RBC Capital Markets: Okay. That’s great. And in terms of the scope, is it still the same in terms of the rough doubling of the C3 plus, or are you potentially contemplating something bigger?
David Smith: At this point it’s still a twinning. So we are looking at somewhere in the 30,000 to 35,000 barrel a day size range.
Robert Kwan – RBC Capital Markets: Okay. I don’t know if this is related to the fractionator kind of discussion but Dave, I think you mentioned something around evaluating the pace of further storage development. I’m just wondering is the bias to go faster or to go slower?
David Smith: The bias is very definitely to go faster. We’ve seen strong demand as a result of the increased NGL production in Western Canada coming into fort Saskatchewan we’ve also seen strong demand as a result of the day one requirements for the bitumen producers. And so for both of those reasons we continue to see strong demand and we’re looking for ways in which we can develop the capacity more quickly.
Robert Kwan – RBC Capital Markets: And I guess just between the demand you’re seeing broadly, the demand for AEF, and the butane you might have in storage and then the potential fractionator, do you see storage as being or the ability to develop it quickly enough, do you think that’s going to be a constraint in terms of new business development opportunities?
David Smith: I don’t think it will be a constraint on the facilities development. We do need a cavern for C2 plus storage when the ethanizer commissioned. But I don’t see the cavern capacity holding up those facility expansions. If we can move as quickly as we would like it will simply mean that there will be some commercial storage opportunities that will have to pass on.
Robert Kwan – RBC Capital Markets: Okay. The last question, is on isooctane. And you had mentioned that at least prior to the outage, you were seeing Q2 shipments and volumes going to pick up. Just wondering is that are those on going customers that you’ve developed particularly on the rail side or given it was Q2. Did you see that as being a little bit more related to some of the refinery turn around work and how isooctane works really well for those facilities?
David Smith: It was some of both as well as you know the in North America the summer months tend to be higher consumption months for gasoline because it’s a driving season. And so all of those were factors what I would emphasize though is that we’ve been very pleased with the response that we’ve seen to our ability to be able to move isooctane by rail and we’re talking to new customers that I think will be long-term customers.
Robert Kwan – RBC Capital Markets: Okay, that’s great. Thank you.
Operator: (Operator Instructions). Your next question comes from the line of Elaine Williams from First Energy. Your line is now open.
Elaine Williams – First Energy: Thank you and good morning. We have seen a number of crude oil loading terminals sanctioned over the past few years and now we’re hearing about potential expansions. So do you think that demand is high enough to sustain the same rate of build out over the next couple of years in the industry?
David Smith: Well Elaine I think the way we are approaching the business is to make sure that we’ve got customers behind the capacity as we expand. We’re certainly not about to do it on spec. I think there is a lot of discussion about growth in rail traffic and additional pipeline approvals that and what that means with the long-term requirement. We believe that rail will continue to be a very important and growing part of the solution for both producers and refiners really for two reasons. One is that rail provides a tremendous amount of flexibility in terms of dealing with the direct volumes anywhere in North America and then secondly we believe that the pipeline are going to have a difficult time keeping up with the growth and demand for transportation capacity at least for the next five to 10 years. So for that reason we are pretty bullish about the need for continues growth in rail load and capacity.
Elaine Williams – First Energy: Okay, great and second question, compared to maybe a year or two ago, are you seeing more producers looking to sell interest in their interest in midstream assets or would you say that this kind of interest has been generally steady?
David Smith: Elaine I would say that it’s generally steady I think that we see some opportunities but not anymore than we would have seen two or three years ago.
Elaine Williams – First Energy: Okay, perfect. Thank you.
Operator: Your next question comes from the line of Carl Kirst from BMO Capital Market. Your line is now open.
Carl Kirst – BMO Capital Market: Hey, thanks. Sorry just a quick follow-up. And understanding regarding the terminal here start-up very soon, but as we Dave, your comments on the flexibility and the interest in rail. Has there been any interest expressed in the JV pipeline with Enbridge as far as Salchichon pipeline or is that pretty much in the back burner with more rail expansion being the primary focus?
David Smith: No I think there is still strong interest in pipeline solutions as well you’ve seen a couple of projects announced in the last little while I think obviously there is still some regulatory concerns with respect to some of the pipeline proposals but we are still optimistic that Norlite is a good solution for the condensate transportation requirements it’s really just a matter of a what the appropriate timing is a pipeline versus rail alternatives. In our approach with Enbridge we believe that the Salchichon terminal was kind of a good lead-in to the ultimate development of the pipeline.
Carl Kirst – BMO Capital Market: Great. I appreciate the color.
Operator: As there are no further questions at this time. I hand the call back over to the presenters.
David Smith: Thank you Joanne. This completes our 2013 second quarter results conference call. If you have any other questions please call us our contact information is in yesterday’s release. So thank you for listening and have a good day.
Operator: This concludes today’s conference call. You may now disconnect.